Operator: At this time I would like to welcome everyone to the Garmin Ltd. fourth quarter and fiscal year 2006 earnings conference call. All lines have been put on mute to prevent any background noise. After the speakers remarks, there will be a question and answer session. If you would like to ask a question at this time, simply press "star" and then the number "one" on your telephone keypad. If you would like to withdraw your question, press "star" then the number "two" on your telephone keypad. Thank you Ms. Schwartz, you may begin your conference.Polly Schwerdt: Good morning. We would like to welcome you to Garmin Ltd. fourth quarter and fiscal year 2006 earnings call. Please note that a copy of the press release is available at Garmin's investor relations site on the internet at www.garmin.com/stock. Additionally, this call is being broadcast live on the internet. Please note that this broadcast does include slides which you can view during the call and archives of the web-cast will be available until March 9, 2007. A telephone recording will be available for two business days after this call and a transcript will be available on the site within 48 hours at www.garmin.com/stock under the events calendar tab. This call includes projections and other forward looking statements regarding Garmin Ltd. and it's business. Any statements regarding our future financial positions, revenues, earnings, market shares, product introductions, future demand for our products, and our plans and objectives are forward looking statements. The forward looking events and circumstances discussed in this earnings call may not occur and actual results could differ materially as a result of risk factors affecting Garmin. Information concerning these risk factors are contained in our form 10k for the fiscal year ended December 31, 2005 filed with the securities and exchange commission. Attending on behalf of Garmin Ltd. this morning are Dr. Min Kao, Chairman and Chief Executive Officer, Kevin Rauckman, Chief Financial Officer & Treasurer, Cliff Pemble, Vice President of Engineering, and Andrew Etkind, General Counsel. The presenters for this morning's call are Dr. Min Kao, Kevin Rauckman, and Cliff Pemble. At this time I would like to turn the call over to Dr. Kao.
Dr. Min Kao: Thank you. Good morning. From the press release you can see that we have finished a very successful year. We recorded our 15th consecutive year of business growth. Total revenue for the year increased 33% to just under $1.8 billion. EPS was up over 54% or 72% excluding the effect foreign currency. EBIT value was up 80% , operating margin only declined 160 basis points, besides the significant shift of product mix from the low-margin T&D which accounts for 62% of our total sales for the year. So we are very pleased with all of these numbers. Over $5 million in product was shipped in 2006. Bringing our total to 19 million units shipped a day. We delivered over 70 new products into 2006 across the whole market segment. Our worldwide employees increased to 4750. We added 1700 associates in 2006, including 250 in engineering, 950 in manufacturing mostly for the new factory, and 175 in marketing including customer support for our second call center to handle the increased call volume. 2006 was a year of expansion. We purchased our factory in Taiwan, bringing Garmin's total capacity to 11 or 12 million units including equipment and staff. In Europe we are on track to occupy our new headquarters in April and as a follow up in spending we opened our Chicago retail store before the holiday season, to showcase Garmin's products and technologies. So we are pleased that Garmin was recently named by Forbe's Magazine as "America's Best Managed Company in the Field of Technologies, Hardware and Equipment," and one of the "400 Best Big Companies in America." We continued to expand our present portfolio with 308 issued and 207 pending applications. Garmin was selected of the (inaudible) of the Ocean Zumo 300 Index. This all patented with four year warranty. We made three acquisitions in the past few months. Innovations which is a leader in personal marine technology. Especially in the field of (inaudible) and heart rate monitors and GPS products. It is also a leader in auto power low cost wireless connectivity solutions which will be used in many of our future products. The addition is a strategy to strengthen and expand our GPS market. This cycle is a leader in services for handset applications. This acquisition is a part of our strategy to expand Garmin's handset applications and GPS products. And E&E, Garmin's former competitor which has now been renamed Garmin and Friends. This acquisition is a part of our strategy to strengthen our marketability. We are excited about these acquisitions and are now working hard to realize their potentials. Two achievements for the automotive and mobile segments increased 170% year over year, driven by the strong sales and release of new product lines. Gross margin remained unchanged at 44%. Operating margin actually increased 100 basis points, which we are very pleased. Additional automotive deals and additional promotional sales continue to increase customer exposure to Garmin's brands and pending products. According to independent market research, Garmin has maintained the number one position in North America. Growing and expanding to the number two position in Europe. The outlook for the P&D market continues to be very positive and we are projecting a revenue growth of 50% for 2007. Road info and the auto segment increased 20% year over year driven by the expanded GPS product lines. Gross and operating margins improved 460 and 530 basis points respectively. We believe Garmin has established itself as the leader in GPS and navigational devices in both running and cycling markets, which were continuing to reach our future goals. We are anticipating a 20% revenue growth for the segment in 2007. Moving forward, the marine segment increased 5% year over year. Gross and operating margins also improved 470 and 250 basis points respectively. Significant investment was made in R&D in this segment in 2006. So we anticipate a revolutionary release of new product in 2007 to grow 20%. And finally, the (inaudible) segment. Revenue for this segment was only up 2% for year over year. Growth and operation margins also declined 150 and 100 basis points respectively. Due to delays in certain OEM programs and new product productions. The good news is that the GPS200 began shipping in late 2006. We anticipate new products and other new certifications will drive a 20% growth in 2007. We're continuing to be very optimistic about our long term prospect of our aviation beacons. Now for some operational highlights: Channel (inaudible) reading Q4 were very strong and better imaging will be created within another quarter. With our added production capacity and improved planning, we did not experience any significant components of profit shortages in Q4. (inaudible) and physical imageries increased both in days and dollars by quarter end of this segment. We continued to expand our marketing and shareholder structure, including the addition of our new European purchase of our French distributor. And we are prestocked...we are able to offset the PND project completion by material cross-reduction. Most significantly, the fresh memory and LCD displays, environment efficiency and also improved framing. As we look forward, we are optimistic of our future. Double-digit revenue growth is anticipated across all business in 2007. A total P/E unit in 2007 disposes the trouble in North American markets, and increased city percentage in Europe. We saw a strong return on our portfolio in any spending on marketing and advertising. We feel that we are positioned to check out the bodies of this golden opportunity. In 2007 we expect to invest approximately $150 million in advertising to promote our product in the Garmin brand. So we continue to increase our focus on sales and marketing. We will advertise effectively to increase our use of the Garmin brand and maintain our growth rate through the year. We will focus all the new opportunities to distribute the products to both consumers and aviation technologies. We continue to pursue improving the product position and global offers in new and existing channels. And we are committed to pricing our product appropriately to both honor Garmin’s superior quality and compete effectively. Finally, we pride ourselves on the marketing campaign. We will continue to invest heavily in R&D to take advantage of opportunities in new and existing markets. We anticipate and expect over 250 new associates and invested in assets of $140 million dollars in R&D this year. The strong line-up of our products is planned to be released throughout the year. With that, I would like to turn the call over to Clift Pemble . He will present a prompt update. Then to Kevin Rauckman with his results in fiscal year 2007. Thank you.
Clifton A. Pemble: Thank you, Min. 2006 was an exciting and record-breaking year for our new product introductions. Today I’ll be highlighting some of our recent achievements and I’ll also provide some comments on 2007 activities. We introduced several new products at this year’s DEF show in Las Vegas. Most notably was the NUVI680, which was the latest in our premium T&D line-up and is the first product on the market to feature services provided by MSN broadband. This product receives real-time content relevant to the driver, such as traffic incidents, with flow information, gas prices, and current weather conditions for cities around the country. We also added an element of fun and spontaneity by including movie listings and show-times with locations. Finding dinner and a show has never been easier now that the NUVI680 is on the market. And the 680 comes out of the box with one year of these services included at no additional charge to the user. After one year, the service can be renewed for as little as $49.95 per year or $129.95 for a lifetime subscription. The NUVI680 offers more content and much lower cost of ownership than any other connected navigator which is currently available or announced. And we are excited to say that it’s now shipping worldwide and will be out on the shelves shortly. We also introduced the NUVI370 and 670, which offers built-in street maps for both the US and Western Europe. These products featured integrated traffic receivers which are able to take advantage of three traffic services, widely available across Western Europe. And the NUVI670 is the first T&D on the market to include a built-in FM transmitter, which is now legal in many Western European countries. We also expanded our motorcycle product line with the ZUMO450, which is a value-oriented product, offering full-coverage mask without the Bluetooth function. For our wireless solutions, Garmin offers a strong lineup of solutions and innovations in our product portfolio. We offer applications featuring onboard maps, stored locally on the device, and we offer maps in turn-by-turn functionality generated from a Garmin server. Our Garmin Mobile XT onboard application offers compatibility with over 260 mobile handsets, running Windows, Palm, and Symbian Operating Systems. Garmin Mobile XT is the first Turn by Turn application to offer rich real-time content services at no additional charge to the user, including traffic services, fuel prices, weather conditions and nearby hotel values, through Hotel.Com. Our Garmin Mobile application continues to lead our competitors in Turn by Turn functionality and rich real time content such as traffic and fuel prices. With the addition of our new DTI division, Garmin now offers a broad range of subscription-based LDS applications, for a wide variety of target user groups. And Garmin has been a leader in incorporating other wireless technologies into our products, such as Bluetooth hands-free calling, RDS-TMC Traffic Receivers, MSN Direct technology and FM transmitters for broadcasting MP3 content in Turn by Turn direction. Looking at our overall T&D product portfolio, Garmin continues to lead other providers in breadth and depth of product offerings, providing a solution for nearly every customer at every price point, which is a business model that has served us well. Moving next to accomplishments in aviation, we received certification approval for our TNF 430 and 530 products with a watch receiver. Shipments commenced in December 2006, and we have seen strong demands for these products both from new customers as well as existing customers who signed up for our traffic watch upgrade program. I’ll provide more on that later. In our LEM business, we are pleased to support business in the certification of the Mustang Life jet, which is the first Life jet to reach the market with a fully integrated cockpit system. Cessna began delivering the Mustang at the end of 2006 and we’ll be wrapping up deliveries during the early part of 2007. As I mentioned earlier, response to our watch upgrade program has been overwhelming with over 15,000 units scheduled for upgrades. I’m pleased to report that the upgrade process has begun. In customer purchasing, new GNF 430W or 530W units, provide an opportunity to create pull-through sales for our other panel-mounted equipment. GMS 200 multifunction display is an attractive companion to the GMS 430 and 530 family, featuring a fantastic new color display, jettison shards, and interfaces to most popular radar systems available on the market. With these new product offerings, we hope to expand our base to over 70,000 430 and 530 products already serving in the field. Finally, during 2007 we’ll be working hard developing the new G600 retrofit integrated cockpit system. The G600 has been receiving a great deal of favorable press for its innovation, great features, and industry-leading low price. We believe this system will be a game-changer for the general aviation retrofit market. Turning next to our integrated cockpit development, we anticipate expanding the reach of our G1000 Integrated Cockpit System this year by adding three new OEM partners and four new aircraft platforms. In addition, we anticipate launching the G900 Integrated Cockpit System for experimental aircraft as well as the retrofit G1000 for King Air C90 Beechcraft platforms. Finally, we’ll continue to support our existing customers, such as Cessna, Honda, Diamond, and Mooney, as they develop themselves some of the most innovative aircraft available on the market today. Turning next to the marine segment, we’ve been working hard to complete the entire line of next generation chart-plotters and fish finders, introduced at the 2006 Met show in Amsterdam. These new products offer a number of innovations in easy-to-use cartography and graphics capability. We’ve included a new base map, which offers satellite imagery overlays and our new G2 vision data cards provide 3D mapping to use and detailed satellite imagery, depicted from both above and below the waterline. Our exclusive marine auto-rooting functions provide mariners with a suggested path that will conform to depth and obstacle-avoidance criteria established by the user. All of this is complemented by a totally-new, simplified user interface and eye-catching industrial design. We are pleased at the positive response we have received so far and look forward to starting deliveries in the early March timeframe. Just yesterday we introduced yet another member of our marine network system, the GPS Map 5000 Series. This product offers even simpler operation, using only an integrated touch screen and leveraging the industry-leading UI philosophy found in our products. Offered in both 8 inch and 12 inch models we anticipate this product will be available in early spring. Over the years we've been working hard to expand our presence in the marine market, and part of that strategy is to offer a full line of marine radar solutions. Our new GMR18 targets value oriented customers who are looking for an entry level price display but don't wish to sacrifice performance. The GMR18 offers twice the power of competitive 18 inch radars, but is priced at under $1000. We also offer higher radars in the 24 inch film configuration as well as the four foot and six foot open array configuration. Each radar offers industry leading beam width for better charter resolution and clarity. All of our radars feature built in display processing and modern Ethernet connection to a marine network system for easy installation reliable operation. We believe our marine product line up is very strong and we anticipate that this will drive growth in this segment during 2007. Finally, we've expanded the application of GPS by introducing the new Astro-dog tracking system. The Astro is the first dog tracking system to offer map page tracking function using a collar and a receiver, and a wireless transmitter attached to the dog. Hundreds can simultaneously track up to ten dogs, at distances up to five miles. It features a high sensitivity GPS receiver for operation and enhanced foliage, and we've included additional sensors which alert the owner to if the dog is off point with meaningful being or is just taking a break. We've received a remarkable number of positive comments on the Astro and look forward to delivering in time for the fall hunting season. That concludes my product update, Kevin will now present highlights from our fourth quarter of 2006 financial results.
Kevin Rauckman: Thank you Clift, we've seen from the financial results this morning that we begin to set new records due to the overall strength of our company and the growing garment brands. During my part of the presentation I'll be walking each of you through the key core results, a quick summary of our full year results, mention the balance sheet and cash book statements, and that includes detailed explanations on the full year 2007 expectations. So looking first at the key, core income state of our revenue gain was $611 million, net income was $180 million, our EPS was reported at $0.82 per share that represents a 91% top line growth and a 105% EPS growth for the quarter. The results did include a 5/10 EPS impact due to foreign currency laws of $10 million during the fourth quarter of '06. So we also mentioned in our press release that we saw favorable $0.07 EPS impact due to the credit that we achieved by reaching higher unit volume during Q4. So, gross margin came in better than expected due to price erosion offset by the material cost reductions, volume efficiencies in our factory, and product mix. Overall our operating margin was 32.5% of sales, which is up from 30.8% last year, and better than expected. Its improvement in operating margin was driven by 110 basis point unfavorable gross margin, 200 basis point favorable advertising expenses, and 30 basis points time favorable other STNA, and 120 basis point favorable R&D expenses. Berman also invested nearly $40 million of advertising during the fourth quarter holiday season, which was $16 million more than during the third quarter of '06. As you recall, they typically invest heavily in TV advertising both during the June and the December quarters, and we expect that to continue in the future. We also shipped nearly 2 million units during the fourth quarter, and our average selling price during the fourth quarter was $306 per unit, which is 8% below the third quarter, and 1% below the fourth quarter of 2005. We're required to mention the fact that there are certain non-GAAP measures that we reported which include net income, excluding affected foreign currency. This impact was $0.05 per share, favorable to us during the fourth quarter, but had no impact for the full year of 2006. Looking at the segment revenue we experienced several digit revenue growth in our outdoor fitness segment and triple digit revenue growth across the automobile segment. Our automobile revenue grew nearly 2.75 times the fourth quarter of '05. On the strengths of our movie and sea story products, and our total PND unit volume tripled year over year during the fourth quarter. Within the automobile segment, our year to day growth is 170%, and we expect a strong 2007 as we either retain or grow our market share in this segment. The outdoor business segment continues to meet expectations and the revenue for the year was up 20%. Our marine and aviation segment grew 5%, and 2% year to day respectively, and overall our total year revenue improved 73% during the fiscal 2006. In the past we've measured the effects of the sales of new products that were introduced during the last 12 months, and during the fourth quarter that number was 55% of our total fourth quarter revenue. Because of the short PNV market, our automobile segment now represents 73% of our total business, growing from 50% of the total business a year ago compared to the fourth quarter of '05. Within the automobile segment, the North American market unit growth was very similar to the European growth, and sales in both of these continents experienced 100% unit growth sequentially from the third quarter of '06. In Europe and North America, market growths were nearly equal with North America representing 64% of our total revenue, and Europe 32% for total revenue. During the fourth quarter North America revenue was up 86%. All our European business increased 109% during the quarter. Our Asian sales also grew 59% during the period. All three of our geographic regions grew 65% on a year to day basis. We exceeded our earlier expectations for 2006 by nearly $100 million, and we recognized $1.77 billion in revenue for 2006. Looking next at our margin by segments, the fourth quarter aviation growth margin increased from 64% in the third quarter to 67% as expected, and our aviation operating margin increased from 32% to 38%, due to an increase in revenue during the period. Our fourth quarter outdoor fitness growth margin remained at 56% during that period, and our operating margin results were stable at 40%. Fourth quarter marine growth margin remained 53% during the period. However the operating margin within that segment declined form 34% to 27% due to the sequential decline in revenue from the third quarter. Q4 automobile gross margin increased from 42% to 46%, leading our own expectation. Favorable products mix, significant material tax reduction and volume efficiency helped increase this margin. The $0.07 impact that I mentioned earlier on EPS was primarily within this auto segment. Operating margin actually increased 600 basis points for the automobile segment up to 31% in revenue growth which outplays our operating expense growth. With the exception of our automobile segment we expect short term margins to be relatively stable, despite possibility in quarter to quarter variability due to both product mix and the timing of our new product introduction during 2007. We do continue to expect that our automobile segment will experience decline in operating margins, due to reduced pricing and a continued transition towards mass market level. And those expectations and assumptions are built into our overall 2007 guide that I'll go over here in a few minutes. On the operating expense side, our R&D increased over $11 million year over year in dollar terms, but was down 120 basis points to 5.1% of sales. As Min mention, we added over 215 to our engineering team during 2006, and we now employ 970 engineers and engineering associates. Our ad spending increased by $12.6 million over the year ago quarter, however on a percentage of sales advertising decreased to 6.5%. Our other STN airline increased 30 base points to 5.7% sales, or 5.4% a year ago. We continue to expect our operating expenses will come in at approximately 17% of sales for the full year of 2007. I'd like to spend a little bit of time on full year results full year income statements. First, as I mentioned, revenue was $1.77 billion, net income of $514 million, and earnings per share are $2.35. This represents a 73% top line growth, 64% EPS growth. When you strip out the FX gain of $15 million we recognized in '05, earnings per share actually grew 72% for the full year. Our gross margin was 49.7% full year, which was representing a 240 basis point decline for 2005 becoming a much greater component of our business during full year. We do expect this trend to continue during 2007. Overall for the year we had a 31.3% operating margin which is down 160 basis points from ’05. However, it is better than we earlier expected in our guidance. We did ship over 5.4 million units during the year, and our average selling price across the entire business for 2006 was $326 per unit which is a 4% decline from 2005. For the full year 2006, because of the triple digit growth within our auto/mobile segment that segment has now grown to become 62% of our total business. The outdoor fitness, aviation, and marine segments now make up 16%, 13% and 9% of our total business respectively. While all geographic regions grew more than 65% during the year, Europe was the fastest growing at 88% and became one third of our total business for the full year 2006. Moving next to the balance sheet, after Garmin paid a $108 million dividend in December we ended the year with cash and marketable securities balance of nearly $820 million. Our accounts receivable increased during the period grew to $403 million due to strong November and December shipments and accounted for approximately 60 days of sales. However we have already collected on over $275 million of the $400 million of receivables during year to date 2007. Our inventory dollars were down $62 million from third quarter ’06 and our days of inventory metric decreased. At the end of 2006 we now hold 79 days of inventory which is significantly down from the 117 days we reported last quarter. The 79 days are made up of $85 million in raw materials, which are 23 days, $42 million in Wip, which is 12 days of inventory and $161 million in finished goods inventory which is 44 days of inventory. We also held $17 million in our inventory reserves at the end of the year. The decrease of finished goods was planned as we responded to our increased customer demand during the seasonally strong fourth quarter holiday. And as Min mentioned as well, retail channel inventory appears to be very lean as the sell through on most of our products was very strong during the fourth quarter. On cash flow, we recognized cash flow from operations of $113 million during the quarter and $362 million for the full year. CapEx was $47 million during Q4 and $93 million for the full year. Our free cash flow during the fourth quarter came in at $65 million or $269 million for 2006. Cash flow from investing was a $28 million use of cash during Q4. Cash flow from financing was $100 million use of cash during Q4 made up primarily of our $108 million dividend. And overall on the cash balances, cash and marketable securities, we earned nearly 5% income during the fourth quarter. I’m sure you all saw that we had a much lower effective tax rate during the period which was 9.6% or 13.5% for the full year. Incremental revenue and net income during fourth quarter and the tax incentives related to our latest Taiwan facility and production line expansion were the primary drivers of the lower tax rate. Because of the lower tax rate in the fourth quarter and full year we now expect that our effective tax rate during 2007 will actually be 15% which is below our earlier expectations. Garmin doubled our dividend during 2006 and paid out $108 million as I already mentioned. We still have $1.8 million shares remaining within our share repurchase plan. We continue to grant stock appreciation rights broadly to our employees and completed the second branch during December 2006. Our annual star brand accounts for approximately 1% of outstanding share count. And as we mentioned in the past, compensation expense relate to the (inaudible) 123R accounted for $12 million or roughly $0.05 per share during the full year 2006. And finally I’d like to end on talking about the full year 2007 guidance. We do remain very optimistic about the future success of our business and we’re prepared to provide the following guidance: Our revenues for 2007 we expect to exceed $2.5 billion, a 41% growth. We expect EPS to grow at least 15% up to $2.70 per share. Operating margins should come in at 27%, a 430 basis points decline due to lower auto/mobile margins during the year and a greater mix of revenue from the auto/mobile segment. We expect to spend $65 million of CapEx during 2007 which is comprised of $25 million of production equipment, $8 million to complete the U.K headquarters build out and approximately $32 million of maintenance CapEx across our business. We anticipate a 50% revenue growth from our auto/mobile segment, 20% revenue growth from each of the remaining business segments. And we’re assuming that we have a stable post split outstanding share count of approximately 219 million shares. Looking at the operating margins within our segment, as we’ve communicated in the past we expect that the auto/mobile margins during 2007 will come down significantly. However the Outdoor Fitness, Marine and Aviation segments will remain relatively flat year over year. So in summary, Garmin feels that we have a strong business model which remains intact. We’re looking to solid growth in all of our business segments in 2007. We have an efficient and improving supply chain, efficient and flexible manufacturing capabilities, strong balance sheet, continue to invest in R&D, we’re going to continue to invest into advertising and our own Garmin brand, and continue to innovate ahead of competition. We look forward to another good year in 2007. At this point I’d like to open up the call to any questions you might have.
Polly Schwerdt: Operator, we’ll go ahead and take questions now.
Operator: If you would like to ask a question, please press * then the number 1 on your telephone keypads. Again, that’s * and the number 1 for questions. Your first question is from the line of John Bucher.
John Bucher - BMO Capital Markets: Thank you. John Bucher with BMO. Well I see you guys squeaked by again on another quarter. I guess the question is, first surrounding the original expectations that you had on the fourth quarter on the auto/mobile segment. You indicated before that you came in far better than you thought in terms of profit margins there and I think you alluded to billed materials, savings and a number of other factors there and as you look to 2007, you’re still very up front in saying, at least as equally up front as you were earlier this year and at your analyst day that you’re going to see declining operating margins due to mix and transition to mass market levels and you just finished the call off by saying that you expect auto/mobile margins to come down significantly. I guess I’m wondering, are you being overly conservative there? Could some of the same efficiency gains as volumes ramp materialize in 2007, and what are you assuming in terms of billed materials decline in your 430 basis point decline that you mentioned here and 27% operating margins? Thank you.
Kevin Rauckman: Well, I think as far as the Q4 results, we saw, like you said, as you said improvement due to volume but we did get additional crevices due to just kind of hitting the next step function on volume so across the board that’s why we pulled that out separately because we didn’t want everyone to think that this was a go-forward business model. At the beginning of the year do we know what our margins are going to be at fourth quarter 2007? No. We have an outlook but business conditions change quite a bit during the year so we typically come in conservatively at the beginning of the year where we lay out our expectations for the full year. We do fully expect that the pricing erosion that we’re going to be seeing in the market will outpace any billed materials saving during the full year 2007 which is why we’re expecting overall operating margins to come down into the 27% range.
John Bucher - BMO Capital Markets: OK, and then I guess I’ll just ask a question on acquisitions. Even with the significant CapEx investment that you made during the quarter you still got greater than $800 million in cash, in cash equivalents. As you look to deploy the cash strategically should we expect more acquisitions, like the Digital Cyclone acquisition which, it would appear, is somewhat unique in that it moves you into the georeference content and application space and can you just expand on the general level of activity that you currently have now as you have on the past with respect to the diligence you're performing on potential deals? Thank you.
Kevin Rauckman: I think for the year and early to those for the year for activities. And we're always evaluating opportunities, so that's the nice thing about, I guess our financial strength now is that it gives us quite a bit of flexibility, and if we run into a company that we feel we can integrate into and can help us significantly on a technology side we'll go after it. So I can't really comment on a specific deal, but we're always evaluating other opportunities. You know the fact that we spend nearly $100 million in cash on our acquisitions here just recently…I think we'll continue to evaluate other companies, but I wouldn't expect that the level of activity will continue. To do three more would be quite a bit to handle here in the near time.
John Bucher - BMO Capital Markets: Thank you very much.
Kevin Rauckman: Thank you John.
Operator: The next question is from the line of Noelle Swatland with Lehman Brothers.
Noelle Swatland - Lehman Brothers: Hi guys. Just a question here, first a clarification, then a question. First, you have mentioned that the $0.07 favorable impact was largely in the automotive segment. Can you just kind of give us a sense of what’s in that impact on the improvement quarter over quarter? And then my question is, just thinking about a starting point for the year, you had mentioned that inventories were very clear and clean going into the first quarter, so that I would assume I would imagine, normal seasonality on the first quarter? Could you comment on that for the overall company? Thanks.
Kevin Rauckman: Yeah. Let me take that question. I think if you exclude the $0.07 impact, the actual automobile segment would have been pretty close to what we recognize all year, which was about a 42% gross margin, so actually we'd still have a baseline number we would experience, and going forward, volume continue to pick up, it's more likely to see the kind of those credits and rebate across the entire bill of material throughout the year of 2007. As far as the Q1 expectation, I want to be very clear, we do not expect Q1 recon giving Q1 guides, but we don't expect Q1 to be up over Q4 like it was last year, we think that by giving the timing of the new product that we had in Q4, and a strong holiday season, we should see a decline from Q4 of '06, to Q1 of '07. So I want to make sure everyone has the right expectation there as we go into 2007.
Noelle Swatland - Lehman Brothers: Is there a range Kevin, historically, that you could just plan us to?
Kevin Rauckman: Again, I can't…typically looking at our history other than last year. It's normally in the 15% range, maybe 20% range, something like that. And that's the level of decline from Q4 to Q1.
Polly Schwerdt: Year over year reference will be in the index. Year over year.
Noelle Swatland - Lehman Brothers: Ok, thanks.
Kevin Rauckman: Thank you.
Operator: The next person is from the line of Bill Benton with William Blair.
William Benton - William Blair & Co.: Good morning and congratulations on the quarter. I'm keeping throughout this credit, because obviously it's real and continuing here, but it's 340 basis points looks like on the fourth quarter numbers. Is this a tribute goal to primarily…is that all billable material here or are we really talking about mass and certain classes of material?
Kevin Rauckman: I would probably equate it to broadly and very similar to what we have had occur on our business with our customers. When our customers hit another level of volume, we sometimes can give better discounts on price. I think it's very similar to what we saw but if not, that's just one level across the board.
William Benton - William Blair & Co.: Ok. And presumably I guess your comment on queen inventory channels as consistent with what you have shipped earlier in the quarter year, and was your standard in the quarter in terms of shipments. Is that a fair statement?
Kevin Rauckman: That's' a fair statement.
William Benton - William Blair & Co.: OK, and you talk about a double in US shipments this year and in automotive sites at 60% in Europe, and you’re targeting 50% revenue growth. I'm wondering if you could give us a little bit more color in terms of your market share expectations imbedded within your guidance versus ASP erosion... can you give us a little more color there? Whether you expect to obviously gain more market share in Europe, maybe lose more in North America?
Kevin Rauckman: I can give you a little bit more color. I think for the North American market, would be to retain or achieve at least a 50% market share as we go forward. The European market is pretty difficult to tell exactly what our market share is. We don't believe we hit 20%. We think we're still 120% in Europe, so our part functions imbedded in our guidance are to get above that 20% level, is going even… as far as price erosion, I think, we've seen prices come down quite a bit on our like per like product, I still expect 25 – 30% price erosion on the current products we have that we're shipping to the market.
William Benton - William Blair & Co.: Ok. Great quarter. Congrats again.
Kevin Rauckman: Thanks.
Operator: Ok, the next question is from the line of Jeff Evanson.
Jeff Evanson – Private Investor: Thanks for taking my questions. Congratulations on the quarter.
Kevin Rauckman: Thanks Jeff.
Jeff Evanson – Private Investor: Kevin, can you talk a little about how you going to market strategy is going to change in the European union, and how we might see that impact some of the financial metrics next year?
Kevin Rauckman: I think in one sense the garment or the EMES we think is going to help us in the market, but in general I think we would need to be much more aggressive and going after the retail channel either directly and indirectly. We've made a lot of changes in 2006 that we feel are already starting to have an impact with our organizational changes. Working more closely with our dealer and distributors in those markets and being aggressive on price, we're ready to be able to push the garment products through the retail channel. So again, we've made some recent changes in the last couple of months, and we think they're starting to have effect and hopefully they'll have a very positive for the fiscal year.
Jeff Evanson – Private Investor: Was distribution cost basically loading up about 10% in Europe? So that's what you see now there?
Kevin Rauckman: That's just one market though. The European market is quite fragmented. There are definitely some savings, but it's not across the board.
Jeff Evanson – Private Investor: Sure, I understand that. Ok. And then you said that the operating margin guidance was down 430 bits for '07. What do you expect gross margins to be down in '07?
Kevin Rauckman: Well, I mentioned that we'd have approximately 17% operating expenses, so if you back into what we think are full year gross margin we'll end up somewhere around 44%, which is lower than low for what 2006 was, but again, we're expecting pretty solid revenue growth too.
Jeff Evanson – Private Investor: Yup. Sure. Ok. Thank you much.
Kevin Rauckman: Thank you.
Operator: The next question is from the line of Peter Friedland with Soleil Group.
Peter Friedland - Soleil Group: Hi. I got a few questions. First, can you give some additional color on mix within the PND segment for the quarter? You know, new V600, 300, new series, etc?
Kevin Rauckman: Well, I think in general the movie and the Tseries were pretty even on unit shipments. Across the total company I think in Europe it was more skewed towards movie, cause then the key products within the new NVF products…I'm not going to comment on any specific units and some of the higher priced units definitely sold well, and that offset some of the cost of the overall price erosion that we saw in the fourth quarter. So we saw pretty strong and mixed of both low, medium, and high priced points that sold for the fourth quarter.
Peter Friedland - Soleil Group: Ok. And then you mentioned 25 – 30% price erosion in PND, but what about ASP in terms of your '07 guidance, do you assume ASP goes down the same rates or that the mix will help you guys out?
Kevin Rauckman: Mix will help us out.
Peter Friedland - Soleil Group: Ok, and then the same question, more color on PND gross margin guidance for '07.
Kevin Rauckman: Yeah, I'm really not going to comment on overall segment gross margins at this point for the quarter for 2007. However, other than to say that the three segments now on the globe are pretty flat on gross margin and operating margin so the decline we're expecting to see is almost entirely in the automobile segment.
Peter Friedland - Soleil Group: Got it. Thanks Kevin.
Kevin Rauckman: Thanks.
Operator: Your next question is from the line of Jeff Rath with Canaccord Adams
Jeff Rath – Canaccord Adams: Thanks. Congratulations. Most of my questions have been asked, but I wonder if you can give some color on your retail store strategy? What's your first thought there? It's obviously a new initiative for you. Do you have any thoughts as to '07 in the expansion of that? In the margin impact… any colors you can give to host that initiative? Thanks.
Kevin Rauckman: Well, I think that the beauty of our business right now, especially in the U.S market is…not that we have no additional retailers to go after but the current distributors and dealers that we have have, sold very well. I mentioned that Appliance City in particular. They’ve had incredible strength in the overall PND category, so much of our assumptions that are just continuing to feed the channel with both as I mentioned, low, medium, and high price point solutions to get as many of the different consumer needs out there but as far as expanding our retail channel we feel like we’re in pretty good shape in the U.S market. European wise, I think that we can do much better, and that’s what I mentioned earlier, we’ve made some recent changes that we think will help us interest the overall European retail.
Jeff Rath – Canaccord Adams: I guess, Kevin, that I didn’t ask the question properly. I’m talking specifically to the Garmin branded store. How do you see that? Is that something that has you thinking about opening a few more stores in ’07?
Kevin Rauckman: Oh, I’m sorry. I misunderstood. Yeah, the Chicago store on Michigan avenue has only been open about three months and I think it has accomplished what we had hoped for, and that is to allow consumers to touch and feel and have a high user experience within the store. They may buy there, they may go out and buy elsewhere, but we want to get the general public to be able to understand the technology better and feel the Garmin brand. But you get it at just one store out of all the thousands of points of sale that we have but at this point we don’t have any plans to open a second, third or fourth store.
Jeff Rath – Canaccord Adams: Great. And just one follow up question, if I may on the $0.07 credit. Is that something that was associated typically with a milestone unit shipment volumes or measurements for the fourth quarter or is that a $0.07 sort of credit that is cumulative targets for the full year? And how do you expect those credits to work in 2007? Thanks, I’ll pass the line.
Kevin Rauckman: I’ll just put briefly, that it’s more related to the targets for the full year.
Jeff Rath – Canaccord Adams: Thank you very much.
Operator: Your next question is from the line of Brandon Dobell with Credit Suisse.
Brandon Dobell - Credit Suisse: Hi. In the PND segment, I guess more of a go to market strategy question…thinking about the breadth of products and the incremental differences between the two or three NUVI’s or the two or three C series. What’s in the retailer feedback from that kind of a breadth versus lets say a good, better, best, or a two product strategy? And do you think more retailer shelf space will allow you to have more varied units on the shelves at one time or is it really going to stick with three units but then online you’ll have a lot more available?
Kevin Rauckman: We see a couple of things happening there. One is that retailers are expanding their shelf space for PND. They’re definitely recognizing the value of the PND product line to their overall business so there’s more opportunity for products on the shelf with major retailers. The other factor is that not every retailer is the same and a lot of times they like to differentiate themselves and offer something that the competitor doesn’t offer, so by having multiple products with differentiating features it gives us a way to appeal to all kinds of retailers that can offer something unique to their customer base.
Brandon Dobell - Credit Suisse: OK. Any sense for what kind of shelf space growth would be embedded in your ’07 50% revenue guidance for PND’s?
Kevin Rauckman: Well I think it’s all rolled up. I mean we just generally have our auto business forecast embedded into our lower guidance, including any shelf space expansion.
Brandon Dobell - Credit Suisse : Over on aviation, a question or a context question…If there’s 20% expectations for revenue growth, and I would imagine the OPACC in that business doesn’t change an awful lot….If you could help us understand why not a whole lot of margin expansion expectations for the coming year? Is there something going on with the mix of revenues within aviation or is there going to be more marketing associated with getting those products out the door?
Kevin Rauckman: I think, as I mentioned, there’s always variability quarter to quarter based on shipment levels but I think that at 20% growth level, I think that the overall operating margins that we experienced in the full year 2006 should not change materially, and we’re going to continue to invest in R&D that we talked about which often impacts the auto operating margin a little bit more because of the amount of dollars that we have to invest to be able to get the product to market so that’s a bit more information on why we expect the margins to be where they are.
Brandon Dobell - Credit Suisse: Well, within aviation specifically, is there something else going on for an R&D spend, or a marketing spend, that would keep those operating margins relatively flat in a pretty good revenue growth year?
Kevin Rauckman: Well, I think without giving you the specifics, investing in future technologies which are R&D, even though aviation is definitely not the same mix of our other product lines, we still sometimes spend as much as a third of R&D dollars in aviation. That’s what’s going on there.
Brandon Dobell - Credit Suisse: OK. And then final quick one...In terms of the impact of buying the distributor in France on your ’07 numbers, are they from a revenue perspective or an inventory perspective? How should we think about that? I guess, more broadly if you continue that strategy how can we get some clarity on what that does to your financial model from a guidance perspective
Kevin Rauckman: Yeah, I think it’s imbedded in our 2007 guidance, from our revenue we’ve already accounted for it in our overall $2.5 billion business next year inventory, obviously we own that business so we would hold the inventory, drive a little bit more inventory increases but I don’t think it’s going to be a material in the overall business model.
Brandon Dobell - Credit Suisse: OK. Thanks a lot.
Kevin Rauckman: Thank you.
Operator: Your next question is with the line of Rich Valera, with Needham & Company.
Rich Valera - Needham & Company: Thank you. Good Afternoon. Maybe this is for Clift. Clift, I think you mentioned that were 15 000 WAAS upgrades queued up. I was just wondering if you could give us a sense of how much revenue you could get per WAAS upgrade and what’s the timeframe you’d expect those to occur over?
Clifton A. Pemble: The timeframe, I’ll start with that first. It’s going to be really challenging for the aviation industry to absorb all of these new upgrades because that’s a lot of airplanes to tear into. The resources in the field at various avionic shops are going to be packed to do all of those. We would anticipate it’s going to be done over the course of 2007 and maybe pushing some into 2008 depending on how well things go. I believe the upgrade was advertised at $1500, if I’m correct, and Kevin seems to think that’s the right number. So for existing customers, basically $1500 will upgrade them to the new WAAS capabilities.
Rich Valera - Needham & Company: Great, and Kevin what was your total advertising spend in 2006? I missed the number you’d mentioned for it.
Kevin Rauckman: We spent $115 million roughly for 2006.
Rich Valera - Needham & Company: And for 2007, was it $140 million?
Kevin Rauckman : No, we said $150 million is what our expectation is there. The $140 million was the R&D number.
Rich Valera - Needham & Company: O.K. That’s all for me. Thanks guys.
Operator: Once again, if you would like to ask a question, please press * then the number 1 on your telephone keypad. Again, that’s * then the number 1 for questions. Your next question is from the line of Jon Braatz with Kansas City Capital.
Jon Braatz - Kansas City Capital: Morning guys. Clift I have a couple of questions. You made a comment on the G600. Are we still thinking that’s a second half revenue item?
Clifton A. Pemble: I think our Aviation guidance actually doesn’t include much of any contribution from the G600. We believe it will be very late in the back half of the year. We’re trying to be conservative, and aren’t including that.
Jon Braatz - Kansas City Capital: OK. As late in the year, the fact that the aviation industry is upgrading WAAS, that probably would not have any influence on their ability to work on the G600, let’s say in the fourth quarter.
Clifton A. Pemble : In terms of capacity?
 Jon Braatz - Kansas City Capital : Yeah.
Clifton A. Pemble : Yeah, I don’t think it would have much impact now.
 Jon Braatz - Kansas City Capital : O.K. Second question. Your acquisition up in Canada, Dynastream. Does that provide you with a platform that may be able to take you beyond fitness products? Maybe into some other area that you’re currently not working in? Is there some application elsewhere beyond strictly leisure products?
Clifton A. Pemble: Yes, so there are really two market areas that Dynastream can help us out in. One is Fitness which we already participate in and it’s the traditional athlete kind of market. The other is the emerging Health and Wellness kind of market which is growing a lot of interest from healthcare providers and companies who are trying to encourage people to become more healthy, become more fit, and it’s a little bit different kind of market.
 Jon Braatz - Kansas City Capital : Can you provide us with any more details of what you may be doing or exactly what the applications might entail?
Clifton A. Pemble: No, I think the whole market segment of Health and Wellness is really emerging and dynamic so I really can’t provide any specifics at this time.
 Jon Braatz - Kansas City Capital : Thank you very much, Clift.
Clifton A. Pemble: OK.
Operator: Your next question is from the line of John Bucher, from BMO Capital
John Bucher - BMO Capital Markets: Thank you. Just a quick follow up. I think in the commentary you mentioned that on aviation you were expecting three new OEM’s on the G1000. The slide just says new OEM’s but I think I heard you say three new OEM’s. Are those OEM’s that have never been announced or associated with the G1000 platform? And then final follow up, can you give unit volume shipments for the G1000 for the fourth quarter. And any expectations for G1000 unit shipments in 2007.
Clifton A. Pemble: Yes, John, the three new partners that I mentioned are new to Garmin. One has been announced before, it’s the Qwest company with the Kodiac platform. They expect to deliver this year. The other two aren’t public at this time. As far as the fourth quarter shipment, I don’t think we have that for you at our fingertips. I believe for the year our total field population is something over 3000 units in the field right now, and going into ’07 we would anticipate that that’s going to be growing healthily as we add new partners and sales increase in the Aviation area.
John Bucher - BMO Capital Markets: Thank you. As far as certification of new aircraft and the like, obviously you’ve given us a 20% growth number which is fairly specific in today’s terms for providing segment guidance but you’re well beyond any major certification hurdles for platforms that are in the pipeline?
Clifton A. Pemble: Yeah, I mean every platform is unique in that they’re all challenging and technically risky but I believe that over the past few years now that we’ve been doing this we’ve gotten much better at it and it’s going much smoother for all of our partners and all the platforms.
John Bucher - BMO Capital Markets: Thank you very much.
Operator: Your next question is from the line of Ben Rodinsky with Bear Stearns.
Ben Rodinsky - Bear Stearns: Good morning, or actually good afternoon in New York. Can you give us a look at Q4 market share in North America and how pricing shaped out with one specific competitor really coming in at low price points?
Clifton A. Pemble: I think that from data we look at, independent data, we’ve seen that we were able to achieve over 50% market share over the year November, December. In terms of the one competitor with the low price, I think the results speak for themselves. We still had a very strong quarter and the overall number of units of market share did not decline a bit. If at all they all stayed stable or came up a little bit.
Ben Rodinsky - Bear Stearns: OK. And then in terms of your guidance for ’07. Can you talk about your rental car income and maybe if you could just go a little deeper and talk about the economics behind that and perhaps capital investment costs?
Clifton A. Pemble: Well, hopefully many of you saw the ad last night on T.V, or recently on T.V from one of our rental car companies, but in general I would say the numbers from that business are included in the overall expectations for the unit sales we’re be doing for 2007, so we’re not really prepared to break those out of our auto/mobile segments. Still a large part of our units were still sold through the retail channel though.
Ben Rodinsky - Bear Stearns: And the economics of that? My impression was that you actually own the units and then there was a revenue share model.
Clifton A. Pemble: No, this was mostly inter-primary unit sales to the rental car agencies where they take the units and then they’re able to charge a ten dollar or whatever fee for use per day.
Ben Rodinsky - Bear Stearns: OK. And then the last one from me. Would it be possible to just run through the biggest component costs now that the year is done and talk about maybe where you have the biggest risk when it comes to your growth margin for ’07?
Clifton A. Pemble: I can lay out the overall top four or five components. There really has not been major change over the last half of the year but the LCD display is still number one, the mapping card, the flash memory, the GPS chip set. Those are the top four components of the bill of material. As I mentioned earlier, we think that the price erosion in the market…if the retail level is going to exceed the bill of material cost segment we’ll experience throughout the full year 2007.
Ben Rodinsky - Bear Stearns: OK. And I know this is hard to forecast, but in the first quarter have you had any component issues?
Clifton A. Pemble: As far as availability?
Ben Rodinsky - Bear Stearns: Correct.
Clifton A. Pemble: No.
Ben Rodinsky - Bear Stearns: OK. That’s it for me. Thanks.
Clifton A. Pemble: Thanks.
Operator: Your next question is from the line of Herb Buchbinder from Wachovia Securities.
 Herb Buchbinder - Wachovia Securities : Actually my Aviation question was answered, but do you think you might be being a little conservative on the margins on aviation projected for 2007?
Clifton A. Pemble: Well, that’s exactly the kind of question that was asked earlier but I think the fact that we’re saying that they’re going to be flat I think is still a pretty reasonable estimate for the full year. I don’t think we’re being overly conservative there.
 Herb Buchbinder - Wachovia Securities: Is aviation still the highest margin segment you have right now?
Clifton A. Pemble: Absolutely. I mean the full year came in right around 65% and I think 65% is the right number going forward.
 Herb Buchbinder - Wachovia Securities: O.K. All right. Thanks a lot.
Operator: Your next question is from the line of Rich Valera with Needham & Company.
 Rich Valera - Needham & Company : Thanks. Kevin, you’d mentioned that you thought your ASP decline would be less than the 25-30% price decline. Would you care to hazard how much less they might be?
Kevin Rauckman : I would say, we talked about a 25-30% growth overall on a like for like product. Given the product mix, our total business, I would think is closer to 12-15% down for the full year on ASP.
 Rich Valera - Needham & Company : Great. That’s helpful. Thank you.
Kevin Rauckman : Alright. I think that concludes our question session, so thanks everyone for your interest and we will look forward to updating you after the first quarter. Thanks a lot.
Operator: This concludes today’s conference. You may now disconnect.